Operator: Greetings and welcome to the Endeavour Mining Third Quarter 2020 Results Webcast. . It is now my pleasure to hand over to the management. Please go ahead.
Martino De Ciccio: Thank you, operator, and hello, everyone. It's a pleasure to be here on our Q3 presentation results webcast. I'm sure that this will be a very exciting presentation as we have a lot to discuss today. You would have seen that we also published our new life of mine for Ity and Houndé. On the call, I am joined by Sébastien, who as some of you might have seen via our very insightful social media feed, is currently in Ivory Coast. Also on the call are Mark, Henri and Patrick. 
Sébastien de Montessus: Thank you, Martino. Before we start, I'm sure you've all seen the announcement on Tuesday, which confirm that we are in discussions with Teranga regarding a potential merger of equals style combination. These discussions are ongoing and may or may not result in an agreement in respect of a potential transaction. Any transaction would only be pursued by management and the Board of Endeavour, if they believe that it represented a compelling value-creation opportunity for our shareholders.  I want you all to, however, rest assured, we remain committed to our promises of generating strong cash flow, deleveraging and paying dividends. I do not intend to comment any further at this stage, either in this presentation or during Q&A, which I hope you'll understand.  But it's okay. As you'll see that there is lots of other exciting stuff to talk about. For those who haven't yet had time to digest all the materials published this morning, this slide is a very good summary in short. We are on track to meet guidance for the year. We generated a record cash flow per share, and I'm mentioning per share because it was a record in absolute as well. But given the completion of the SEMAFO transaction, it is more fair and accurate to look at the per share. We also significantly reduced our net debt with a 71% reduction over the last 12 months. In Q3, we reduced it by nearly $300 million, and expect to be net cash by year-end if gold remains around $1,900.  We also published new mine plan for our 2 flagship mines, Houndé and Ity, which demonstrates strong real ability to generate cash flow over a long period and gives visibility to our cash flow generation. And last but not least, given that we have now a strong balance sheet and that we expect to generate significant cash flow, as seen with our new life of mine plan on our 2 flagships, our Board has declared our first dividend at an attractive yield. It's exciting for me and the team to break this milestone given the work done over the last 4 years in building the right portfolio and put us in this position today. We will go over all these items in-depth and in the upcoming slides. 
Henri de Joux: Thank you, Sébastien, and hello to everyone. I will start on Slide 22 with a snapshot. The key takeaway here is that we are in a much stronger position year-on-year, mainly due to higher production across the group, a full year of Ity and obviously, the integration of the SEMAFO asset during the quarter and gold price. These have contributed to strong increases as you can see here.  If we turn to Slide 23, Martino, we can see the breakdown of the all-in margin, which, as a reminder, includes the nonsustaining capital. If we look at the bottom line of the slide, you can see that on a year-to-date basis, we are up more than double compared to the same period in 2019. While on a quarterly basis, we nearly tripled all-in margin.  If we move to the next slide, net free cash flow. You can see that the continuous progress of our net free cash flow during the -- from this year. Our year-to-date net free cash flow before repayment or proceeds from long-term debt improved by nearly $363 million. And if we highlight some notable items here, we have taxes paid, which has increased mainly due to increased corporate income tax payment at Agbaou. And as you can see in Point 6, Q3 also includes acquisition and restructuring costs. If we move to Point 9 of this slide, you can see that we have repaid a portion of the RCF, which we drew down in Q2 as a progression during the COVID-19 crisis.  Moving to Slide 25, net debt and liquidity analysis. We will take a closer look at our net debt and liquidity. We have prepared an analysis of our cash position, starting with our cash position at the end of Q4 2019 and ending with how we currently stand at the end of Q3 2020. And as you can see, with significant operating cash flow and with investing and financing cash flow, we ended up the quarter with $523 million in cash. This means that we ended Q3 at a net debt of $175 million, which, as I previously noted, is down significantly from last year. So this, combined with the strong EBITDA performance has resulted in a reduction in the net debt-to-adjusted EBITDA ratio to just 0.29x.  Next slide, it provides a breakdown of our adjusted net earnings. And for this, we have noted the adjusting line items with a letter A on the right-hand table. And if we look at the table, we'll see that the largest item relates to the losses on financial instruments. This is mainly due to the derivative portion of the convertible senior bond, which has increased due to the significant increase in our share price in 2020. Earnings were also impacted by higher depreciation results from the gross-up of the SEMAFO asset.  Nonetheless, our adjusted net earnings increase on the growth on a per share basis compared to the same period last year, as you can see at the bottom of the table. In particular, our adjusted net earnings per share has increased significantly to $1.24 million at quarter end, nearly a factor of 4.  And then Slide 27, Martino. I'd like to say that the financial review by looking at our adjusted earnings per share and how it's trended over time. And as you can see from the graph, it has continued to grow steadily over the year. And it's now sitting at 44% for the quarter, up 47% from the same period last year.  Sébastien Sebastian, back to you.
Sébastien de Montessus: Thank you, Henri. I realized that this is your last webcast as Joanna has recently arrived, and we'll be taking over as CFO beginning of next year. I thought that leave you with a nice stat. You now hold the record within Endeavour as CFO that has generated the most cash flow, good timing. While you were interim CFO, we decreased our net debt by $298 million from $473 million to $175 million. But given that production is higher, weighted to Q4 and due to the continued strong gold price environment, Joanna, I'm sure will quickly try to surpass you. On that note, Mark, over to you for the operational review.
Mark Morcombe: Thank you, Sébastien, and hello to everyone. I trust that you're keeping safe and well, wherever you are located. Starting on Slide 29. Our production bridge illustrates the performance year-to-date for both the pre-acquisition assets as well as the pro forma business. Ity, CIO, Houndé and Karma all showed increases, which more than offset the expected decline at Agbaou, and resulted in a pre-acquisition production level of 475,000 ounces year-to-date. A great achievement given the challenges presented by COVID-19, and a modest increase from the same period in 2019, which is typically a more challenging quarter given the rainy season.  Once we add in the year-to-date impact of Mana and Boungou, we're now looking at pro forma production of 722,000 ounces. As you know, we have recently restarted mining operations at Boungou. So the production challenge here is mainly from process and stockpiles.  Moving to Slide 30. I will start the operational review with Houndé. As you can see on the chart, production increased in Q3 due to higher process grade, which more than offset slightly lower throughput. All-in sustaining costs decreased quarter-on-quarter, mainly due to a decrease in sustaining capital, lower processing unit costs and slightly higher sales volume, which more than offset higher royalty and higher mining and G&A unit costs. On the bottom right-hand side, you can see the detail of KPIs. Total tonnes mined declined by 14% due to the normal raining season impact, while total tonnes of ore mined increased by 15% due to the commencement of mining at Kari Pump with an initial low strip ratio. Ore was sourced primarily from Vindaloo Main and Central and Kari Pump, supplemented by Bouéré and Vindaloo North. Tonnes milled was flat as oxide ore from Kari Pump, offset an increased amount of fresh ore from Vindaloo, while process grade increased as we access higher-grade ore from Vindaloo Main and Central, supplemented by Kari Pump. Looking ahead to Q4, we are expecting a further increase in production versus Q3 as process grades are expected to improve substantially or processed tonnes and recoveries are expected to be relatively unchanged.  Turning to the updated life of mine on Slide 31. The key drivers behind the update have been near-mine exploration success and mill throughput, which has consistently outperformed the optimization study. We have added approximately 2.5 million ounces of measured and indicated resources at a discovery cost of less than $15 per ounce, which has allowed us to add 1.4 million ounces to Houndé. It is worth noting that reserves at Kari Center, Gap and Pump Northeast has not yet been included, and we're expecting to have these completed by year-end.  On this slide, you can see how the detailed production of Houndé has been enhanced compared to the original study. Similar to the earlier production chart, the white bars show the original mine plan, while the blue bar show the incremental production. There are a few more points that I'd like to take you through on this chart. The first is that we've added more than 211,000 ounces of gold production from 2021 to 2025, which represents a 21% increase over the previous plan. The second is that the Houndé mine life has been extended by at least 3 years with continued opportunity for expansion from resource conversion and near-mine exploration, which Patrick will expand on shortly.  Moving to Slide 32. Let's take a close look at the long production statistics for Houndé. The Houndé operation will be able to sustain 250,000 ounces per annum over the next 5 years, and over 200,000 ounces from 2025 for the following 5 years without taking into account our expectations for conversion from additional exploration upside. All-in sustaining costs are very competitive at under $875 per ounce through to 2025, and currently at just above $900 per ounce over the life of mine. Our goal is, of course, to continuously adjust our life of mine plans with each exploration update to augment the production profile for the following 5 year period.  On Slide 33, we've included a map which illustrates the extended permit at Houndé to incorporate the Kari area. You can see the 2 new high-grade deposits, Kari Pump and Kari West that are now part of the updated mine plan as well as additional resources that we will incorporate in the new future.  Turning to Slide 34. You can see the mine schedule by deposit at Houndé. The Vindaloo pits will be sustained at the same source of fee over the life of the operation, while the addition of the higher grade Kari Pump and Kari West deposits has allowed us to displace lower grade sources to the end of the mine life. The Kari Center, Gap and Pump Northeast deposit, a lower grade than Kari Pump and Kari West, that will contribute positively to extend mine life and plan on adding to reserves at the end of the year.  The benefit that the new long plan bring is sufficient time horizon to consider further improvement initiatives, focusing on mining productivity, plant throughput, recovery and costs. It is worth noting with the volume of Kari Pump, we will be considering alternative options to set the volume. Another good potential project for Houndé is the use of solar to supplement the group, which is more expensive than booking a program. Work is already underway in this regard.  I will now hand over to Patrick to take us through our exploration program at Houndé.
Patrick Bouisset: Thanks, Mark. And hello to everyone. Turning to Slide 35 now. When we take a higher-level look at the exploration work done at Houndé, if we include the cumulative depletion, Houndé is now host of 2 -- a total reserve endowment of more than 3.4 million ounces, within -- with 2.8 million ounces still in reserves. This is an increase of more than 64% compared to the 2016 optimization study, which essentially means we have more reserves today than we did when mining began. And we are indeed confident that we have several additional opportunities to add even more.  Our main focus has been the Kari area today, which now accounts for 57% of the total Houndé M&I resource, with 2.5 million ounces of indicated resources discovered over the past 3 years. The area hosts high-grade deposits with approximately 84% of indicated resource trading more than 2 grams per tonne of gold, amounting to 2.1 million high-grade ounces at a low -- very low discovery cost of less than $15 per ounce -- per indicated ounces. Importantly, all of these deposits are within tracking distance of the plant.  Earlier this year, we also announced an update resource estimate in early Q3, incorporating some 554,000 additional indicated ounces for the entire Kari area. This included the extension for the Kari West and Kari Center deposit, plus new maiden resource for the nearby Kari Gap, Kari South and Kari Pump Northeast deposit. We will soon start a new drilling campaign of at least 20,000 meters in the Q4, which is focused on targeting extension in field and exploratory work. We will continue to focus on the Kari area until we have finished converting all the resources into reserves, and we expect to announce maiden reserve for Kari Center or Kari Gap South and Pump Northeast in our year-end reserve update during Q1 2021.  We will then prioritize the next target that are within 15 kilometers of the mill for exploratory drilling in early 2021, and we look forward to seeing the result of that program with excitement. So lots to achieve but not still to play for -- at Houndé. Back to you, Mark.
Mark Morcombe: Thanks, Patrick. Turning now to Ity on Slide 36. You can see that production has decreased slightly since the last quarter with higher throughput and gold recoveries largely offset the lower process grade. All-in sustaining costs decreased due to a lower strip ratio, an increase in gold sold, higher recovery rates and lower unit processing costs, which were partially offset by higher unit mining and G&A costs and higher royalty expenses related to the gold price. Mining continued to prioritize pit cutbacks during the quarter at the higher grade Ity and Bakatouo deposits.  Taking a step back to look at mining activities over the past 2 years since the CIO plant began operation. Mining in 2019 was primarily focused on ore extraction. During 2020, we accelerated the Ity pit cutbacks in quarter 2 and have been focused on this, plus a cutback at factor 2 to expose additional ore. This will enable us to source ore from several deposits to optimize plant feed based on metallurgical characteristics. We are confident these short-term compromises will position Ity for a stronger performance in quarter 4 and into 2021.  Production in quarter 4 is expected to improve over quarter three due to higher process grades. Plant feed during the quarter is expected to be sourced primarily from higher grade sulfide ore at Daapleu along with historical leach dumps and stockpiles. Throughput and recovery rates are expected to decline due to the expected metallurgical characteristics of the higher proportion of fresh ore.  Moving to Slide 37, and looking at the updated Ity mine plan. Similar to Houndé, we've been able to develop a mine plan that confirms this operation as one of the cornerstones of our business, producing at a rate of 250,000 ounces per year. Reserves have increased steadily through ongoing explorations at , which has allowed us to progressively increase mill throughput through various small capital improvement projects.  On this slide, the blue bars show the incremental production compared to the previous plan, which are in Y. While there have been some modest variations on an annual basis, we have maintained the ability to bring forward additional high-grade discoveries to either increase production in the shorter-term window or to sustain the 250,000 ounce production for longer, subject to continued discoveries like Daapleu, for example. It is worth noting that the published life of mine plan is based on current reserves and installed plant capacity, and does not take into account further processing upgrades that are under planning and/or freehold engineering, which will bring a range of benefits, including increased throughput, increased recovery and reduced reagent consumption.  On Slide 38, you can see some additional key metrics, both for the 5-year period starting in 2021, and what we anticipate the following 5 year period will look like as well as the total life of mine as it currently stands. Headline numbers, annual production of approximately 250,000 ounces through to 2025 and an average of 230,000 ounces over an 11-year mine life. All-in sustaining costs are very competitive at $780 per ounce for both the next 5 years as well as over the life of mine.  Moving to Slide 39. We have recently received the mining permit for the entire LePlaque area highlighted in purple, which is held within a new subsidiary with Société des Mines de Floleu, and 90% owned by Endeavour. This license covers the existing Le Plaque deposit as well as several additional transits in close proximity, and will give us flexibility to bring additional discoveries into the mine plan in the future. The bridge that was constructed for access to the Daapleu pit enables access to both sides of the Cavally River were Floleu licensed as well.  On the next slide, we have detailed the mining schedule across the 9 deposits at Ity. Access to the Le Plaque deposit is underway. We expect to finish all-in compensation and all-road construction in the next 5 to 6 months for the reconcile grade control drilling and infrastructure establishment ahead of the wet season in early 2021. This will enable us to commence margins in late 2021. Patrick will talk about exploration plan shortly, but we will always advance higher grade options ahead of the lower grade pits options via . It is great to have that range of options and flexibility at Ity.  I'll now hand over to Patrick.
Patrick Bouisset: Thanks, Mark. Turning to Slide 41. As you can see on the map, the Ity mine remains highly prospective with quite a significant number of exploration target, which are all within tracking distance of the plant. As already mentioned, so far, since 2016, we have been -- we have discovered more than 2.3 million ounces of indicated resource. And I am confident due to the quality of the exploration portfolio that we will continue to find more.  Since March 2018, our primary focus has been the Le Plaque area. And you can see, we have been very busy. During the year-to-date, the majority of exploration has continued to focus on the Le Plaque area with $13 million spent year-to-date, comprising over 85,000 meters of drilling. During H1 2020, we also carried out more drilling on the northern part of the Floleu license area. This recognizance drilling outlined that the Le Plaque represent only around 30% of the large Northern Floleu anomalous area. Drilling on this additional target is ongoing with results pending on several roles. Our goal is to delineate new resource at some of these targets in 2021, and I look forward to updating you as we progress on that. We are also drilling near-mill targets, including Verse West, the historic leach pad of Ity and the Daapleu Southwest. Now back to you, Mark.
Mark Morcombe: Thanks, Patrick. On Slide 42, I'll take you through our Agbaou mine where production remained flat at from last quarter. An increased proportion of mill feed was comprised of higher-grade fresh ore, which compensated for the expected reduction in plant throughput. This all was sourced from the deeper elevations of the North and South pits, which resulted in higher waste stripping and a corresponding decrease in ore mining.  Looking to the last quarter of the year, we expect production to increase as we process higher grade and increased tonnage. Mining is expected to continue principally in the North and South pits. Throughput is expected to increase following the end of the rainy season, while recoveries are expected to increase and slightly decreased due to greater volumes of the harder fresh ore process.  Moving to Slide 43. Production at Karma increased slightly from last quarter due to the recovery of some of the gold lockup in the heap during previous quarters. This offset the lower grade recovery rate and tonnage stacked driven by the rainy season and higher strip ratio associated with the Kao North and GG1 pits. We expect production to increase slightly during quarter 4, thanks to increased tonnage stacked during the dry season. Mining is expected to continue at Kao North and GG1 through the remainder of the year, with stack grades expected to be consistent with those in quarter three as low-grade stockpiles supplement ore stacked.  Turning to Slide 44. This is our first look at how the Mana mine is performing as an Endeavour operation. I've been to the site 4 times now over the past 4 months, and we'll be heading there again next week as part of our budget process. This has enabled me to understand the operation quite well and meet many of the team. With the completion of the Siou open pit, all focus is on waste stripping at Wona and maintaining strong production performance in the underground. We have undertaken a review of exploration target and will commence drilling for both open pit and underground extension in quarter 4.  We've also employed an experienced general manager for Mana, who has Siou open pit and underground experience. This quarter, production increased significantly. One of the biggest improvements was a substantial increase in total tonnes mined due to an increase in equipment availability. This allowed us to increase all mining by 19% in spite of a higher strip ratio. Ore extraction focused on Siou and Wona pits, while pre-stripping was conducted at Wona. In the underground, all mining increased 43% versus quarter 2, which was impacted by a 2-week shut related to implementation of preventative COVID-19 measures. Ore processing increased as a result of higher available feeds for the mill.  Looking ahead, following a stronger quarter three, we expect production to decline modestly in quarter 4 due to the completion of the Siou open pit while increased ore from Wona will lead to lower throughput and recoveries. Operations will focus on nonsustaining underground development and pre-stripping of Wona, which is expected to increase both sustaining and nonsustaining capital expenditure. We will also initiate a 35,000 meter drilling program for quarter 4 with 27,000 meters of RC and 8,000 meters of core drilling plans. The program is targeted at Northeast continuation of oxide mineralization at Kona and Siou open pits. A further 15,000 meters will be targeted at evaluating continuations of underground ore shoots at the Northeast and Southwest extension of Siou.  Moving to Boungou on Slide 45. Similar to Mana, I have had 4 trips to Boungou with another planned for next week. Our general management from Ity is now on site, and good progress has been made with the mobilization of SFTP, who have purchased a large amount of the previous mining contracted fleet in addition to the fleet that they are mobilizing to site. We have conducted an exploration review with Patrick's team, and drilling will also recommence in quarter 4.  As announced last month, mining activities successfully restarted at Boungou, which will enable us to have a strong fourth quarter. I'd like to thank the government of Burkina Faso for their partnership in improving regional security, and also to say well done to everyone involved in getting this restart of the ground quickly and fastly. It marks a real milestone for us and is a key factor to realizing the full benefit of the SEMAFO acquisition.  Production in quarter three remained flat compared to the previous quarter as increased plant throughput offset the lower grade mill feed. We were able to extract some previously blasted ore, which helped to offset the declining stockpile grade and the lead up to the recommencement of mining.  That concludes my operational review. I'll now hand back to Sébastien.
Sébastien de Montessus: Thanks, Mark. Before we hand over to Q&A, I'd like to reiterate the strategic importance of the Houndé and Ity mines to our overall ambitions of being a strong dividend-paying gold producer. This chart is a neat summary of how we have turned around this business in just 4 years, following a period of significant investment and hard work. You can see that our portfolio is now better balanced with an attractive cost profile and gives us significant visibility into the future. With the investment period now over and that falling rapidly this quarter, aided by -- supported by a strong gold price, we've been able to achieve our goal of becoming a sustainable dividend payer. I'm proud of the combined efforts of our exploration, mine development and operations team who have worked together to make these mines a resounding success.  Looking ahead, we have several interesting near-term catalysts coming up with higher production expected at both Houndé and Boungou in Q4, we're expected to have a record quarter. We also expect to announce maiden reserves for Kari Center and Kari Gap in our year-end reserve statement.  Turning to our growth portfolio. We plan to announce the accelerated PFS for our greenfield Fetekro project during Q1. With our first dividend announcement today, our next goal is to seek a secondary listing to broaden our appeal to investors and drive incremental investor demand through increased index inclusion. We have worked hard and invested heavily in recent years to build the platform that we have today. I really believe this work is now paying off, and we are looking good for the end of the year and into the future. Thank you.
Martino De Ciccio: Thank you, Sébastien, Henri, Mark and Patrick. That's a stellar job as always. It's lots of details, but I'm sure that our audience appreciates it. This concludes the formal portion of our session.  Operator, we will now take applaud, comments and, of course, questions.
Operator: . Our first question comes from the line of Raj Ray from BMO Capital Markets.
Raj Ray: My first question is on your dividend, and congrats on distributing your first dividend. If I'm not wrong, you're basing it on a -- maintaining 1.6% dividend yield, and it's not a percentage of your earnings or free cash flow, is that correct?
Sébastien de Montessus: Yes, that's correct. I mean the intent is until we reach $250 million of net cash on the balance sheet, we'll maintain the same level of yield. And then once we've reached the $250 million net cash, which -- based on different gold expectations throughout 2021 can come as early as, say, Q2, Q3. Then we'll be able to increase the dividend yield by distributing further to our shareholders.
Raj Ray: Okay. My second question, and if I'm not wrong, you did mention about the potential share repurchase that you could look at. Can you give us some color on what valuation benchmarks would you be looking at with respect to whether you would be buying back your shares or not?
Henri de Joux: Sure. Well, I think that the objective for us is to come up, and that will be probably as part of our year-end results with a strategy on capital allocation that includes the buyback instruments. By Feb, March when we'll publish our year-end results, we'll be able to describe, again, given the strong balance sheet where we are that as part of our capital allocation strategy, buyback may become an attractive tool of returning value to shareholders if and only if the share price continues to be significantly underperforming.
Raj Ray: Okay. Okay. And then if I may, just a couple more questions. First up on your convertible bonds. If I'm not wrong, there's 20 of 30 soft call provision that kicks in February 2021. Now this depends on where your share price is at that point. And if it's above the trigger pipes. But do you have any thoughts on whether you'd be looking to call that? Or you'll let it right to maturity?
Sébastien de Montessus: Well, I think you're right, Raj. I mean, in Feb or March, I mean we have the ability with this call option. It doesn't mean that we're going to exercise it. But we always said that our intent was that once we reach a strong balance sheet, and we do believe that -- thanks in particular to our 2 key assets, we should, in this current gold price environment, continue to generate significant cash flow, which means that once we are able to reach this $250 million net cash, and we're able to continue to pile up cash, down the road, we'll make the assessment on whether from a capital allocation standpoint it makes sense to call back this bond or not.
Raj Ray: Okay. And then one last question. Maybe this is for Patrick. I just wanted to get a sense of the strip ratio for Le Plaque. If I remember correctly, Ity had a low strip of 2, but the strip ratio has increased with the inclusion of Le Plaque. And how is the profile for the strip ratio? Is it higher at the beginning? Or as you go deeper into the Le Plaque deposit strip ratio increases? Any thoughts there.
Patrick Bouisset: As far as I remember, it's -- yes, it's significantly higher than Ity because the mineralization are much more, I would say, vertical. So for the exact number of the strip ratio, I don't remember. Maybe Mark could answer more in detail because I know this has been included in our latest mining plan. Mark?
Mark Morcombe: Patrick, if I were to step in here, it's about -- it's over 4:1, whereas Ity is less than 2:1. So it is more, but it is high grade. Raj, to your question on timing of the different deposits, in the press release, Figure 7 of the life of mine press release, you have a table there with the pit sequencing. So Le Plaque shows that it's coming into production in late next year and runs throughout the life of mine until 2028. So the idea is to blend the higher grade with some of the lower grade deposits to maintain this 250,000 ounce flat profile.
Operator: Our next question comes from the line of Lawson Winder from Bank of America Merrill Lynch.
Lawson Winder: A really exciting dividend policy, well played. I just wanted to ask another question on that policy to sort of reinforce my understanding of it. So it is based on the yield. And just hypothetically, if your share price were to double from here, your dividend payout then would double to $120 million?
Sébastien de Montessus: Well, I think that if our share price doubles, I think it just will be reflecting the strong balance sheet and the further cash flow that we'll be generating. So we should be able to continue to maintain this level of yield. So that's one. And second, as mentioned, I think that we believe that returning value to shareholders, in particular, the ones that have been supporting us over the last 4, 5 years as through the intensive CapEx phase of building Houndé and Ity. Once we've reached this $250 million milestone then instead of keeping a discretionary view on this policy, we'll get more into a percentage of cash flow generated by the company once we've reached this $250 million.  So the -- where we are excited is we've reached, as we expected in 2020, this nearly net debt 0. Now it's all about maximizing cash flow. We said that we wouldn't start any new projects in terms of construction before '22, which means that '21 is solely focused on maximizing cash flow and getting as fast as possible to this $250 million net cash position, so that we can continue to increase the return to shareholders. And in parallel, as we have the balance sheet and the cash flow, we'll be able also to revisit what is the best capital allocation, I mean, for our shareholders, including potential buybacks depending on share price performance.
Lawson Winder: Just on another thing you touched on there on the no CapEx in 2021. However, I mean, you do plan to have a pre-feasibility study out on Fetekro. And I'm just curious, I mean, assuming that pre-feasibility study is positive, are there any permitting-type restrictions that would prevent you from proceeding with at least some CapEx spending at that asset in 2021?
Sébastien de Montessus: Well, the -- we'll have to move -- as soon as we have a sensible feasibility study, we'll have to move to permitting, which is a process which we're extremely familiar with in Côte d'Ivoire, as you saw with the recent Le Plaque permit. Our objective would be to have -- to be in a position to have a completed feasibility study and mining permits ready by the end of the year so that we can decide in terms of capital allocation, whether between Kalana and Fetekro. Fetekro is the first one to go into construction starting in '22.
Lawson Winder: Great. That's fantastic color. And then on the listing, last quarter, you said you're looking at a secondary listing in either London or New York. Maybe, one, could you just update us on that process? And two, from this point forward, could you see Endeavour possibly having two additional listings, a secondary and a third? Some of your peers have done that.
Sébastien de Montessus: Sure. I think that our view is that given our increased size, we believe it makes sense to have a second listing. We're currently evaluating the right venue. Most of the work, to be frank, has been done. I would say that we nearly have the answer to it. The issue we're facing is in terms of timing, it takes time, I mean, to prepare whether for New York or London, this listing. So I think there is no point in announcing something that's going to occur in 6 months' time, announcing already the venue. I would just say that we are doing the work so that by end of Q2, we are in a position to announce -- I mean, to make the listing happening, which probably means that we'll be announcing it as part of our year-end results.  So yes. I mean we're progressing very well on all that, full steam. We have a dedicated project team working on that. And we believe that, that's an important catalyst also for our share price in 2021.
Lawson Winder: Okay. And then just any thought to two listings?
Sébastien de Montessus: New York or London. And I would say that still evaluating the merits between the two.
Lawson Winder: Okay. Fair enough. All right. And then just one final question for me. I'd like to ask sort of a conceptual question. I mean if I look historically at your sort of deposit strategy, you guys have tended to go after deposits, of course, in West Africa that tend to be higher grade, large proportions of oxide material. And I'm just curious how you would think about adding a potential refractory deposit to the portfolio? And how you might manage the risk associated with that and the technical challenges that would come along with that?
Sébastien de Montessus: Sure. Well, I think that the -- given the quality of the portfolio that we have, and I think Patrick and the team have been really excited about focusing on identifying short-term nearby high-grade oxide deposits. So far, we continue to deliver on that front. We know that at some point, we might have, in particular, on the nearby in order to focus on a bit lower grade. And we all know that in West Africa, there are a lot also of refractory ore. I don't think it's on the agenda today. But I'm sure that technically, there's been a lot of progress done on treating refractory ore, and a lot of our peers are progressing on that.  So I think that down the road, I'm sure that, that's something that the Group will be evaluating and might enter into. But we don't need to for today, which is good. And this is why we're so happy with our life of mine plans that we published on Houndé and Ity, given the strong visibility that I think we're giving to investors in the market on those life of mine plans with easy ore to treat, I would say.
Operator: Our next question comes from the line of Fahad Tariq from Crédit Suisse.
Fahad Tariq: On Ity, on the 10-year outlook, I noticed in the outer years or near the end of that 10-year period, there's a gap. And at Houndé, from your comments, it sounds like Kari Center and Kari Gap would fill that gap. But for Ity, where do you see the exploration upside that would kind of fill that gap in the later years to get you to the 250,000 ounces per year?
Sébastien de Montessus: Sure. Well, I think Patrick could confirm, but Le Plaque, for example, I mean, it's still open, and we haven't finished on the Le Plaque wider area. So the team continues to be extremely excited by the multiple targets that we continue to identify on Ity. So it's clear that we're not short of ideas on target, where to find more ounces, it's just a question of putting priorities. And as you tend to go more to the back end of the life of mine plan, 9 to 10 years down the road, obviously, it shift in terms of priority and timing versus other more short-term priorities on the other mines side and so on. So Patrick, I mean, I don't know if you want to give a bit more color on all those different targets and potential?
Patrick Bouisset: Yes, sure. Yes. As Sébastien said, there is still some upside in Le Plaque deposit itself. But something to remember is, in Ity, we have been very fast and concentrating, as somebody said before, on quite shallow, open pitable oxide type of mineralization. That being said, we know that we have some deeper potential, weather, for example, in Le Plaque, in Daapleu, in Bakatouo to where initial exploration stopped at quite a shallow depth. So we know we have upside there. But on top of that, as was mentioned before during the presentation, there is potential in Versa West in several areas, actually around Ity, where limited exploration was done, maybe not for 1 million ounce deposit, but we do believe that there is very good chance to find additional 200,000 to 300,000 ounces deposit on Ity, at least within the 5-kilometers radius on Ity. So for us, it's just a matter of time just to fill that gap.
Fahad Tariq: Okay. That's clear. And then my only other question was on royalties, I know they're higher, but is that a function of just the gold price? Or are you seeing any pressure from certain governments to try to revise the royalty regime because of COVID budget deficits or just higher gold prices? I'm just trying to get a sense of -- so far, it sounds like it's basically the gold price, but going forward, is it...
Sébastien de Montessus: Yes. I confirm it is solely gold price. As you know, in most of the countries where we operate, the mining code is basically scaling royalty based on gold price. So it's simply mechanically the effect of gold price increase.
Fahad Tariq: And just -- have you seen any pressure from any of the government to try to revise any of the mining agreements?
Sébastien de Montessus: No. And I think that what I've been advocating regarding West Africa countries, in particular, the French West Africa, where we operate is that because those mining codes do take into account higher gold price with this mechanism, they are already incentivized, and therefore, they have no reason into revisiting all this.
Operator: We have no further questions in the queue. Please continue.
Martino De Ciccio: Well, thank you, everyone, for your questions and attendance. As there are no more questions, we'll now finish the call. I, of course, remain available to address any questions offline. For those of you that have also seen on our website, we published the virtual tours for Ity and Houndé along with those mine plans, so we invite you to visit those. Thank you, everyone, and have a good day.
Sébastien de Montessus: Thank you. Bye.
Operator: That does conclude today's conference. Thank you to everyone who's participated in today's call. You may now all disconnect. And speakers, please stand by.